Operator: Good day, and thank you for standing by. Welcome to the 2023 Fourth Quarter and Fiscal Year Financial Results and Business Update Conference Call. [Operator Instructions] Please be advised today's conference being recorded. I would now like to hand the conference over to your speaker today, Steve McCormick. Please go ahead.
Steve McCormick: Thanks, Kevin. Good morning. I want to thank you for joining PyroGenesis' 2023 fourth quarter and year-end financial results and business update conference call. On the call with us today are Mr. Peter Pascali, President and CEO of PyroGenesis; and Mr. Andre Mainella, the company's Chief Financial Officer. The company issued a press release on Monday, April 1, 2024, containing a business update and financial results for the fourth quarter ending December 31, 2023, which can be viewed on the company's website. If you have any questions after the call or would like any additional information about the company, please contact the Investor Relations Department, and we will try as best as possible to answer questions that are not of a material nature. The company's management will now provide prepared remarks reviewing the operational and financial results for the fourth quarter and year ending December 31, 2023. I would like to remind everyone that this discussion will include forward-looking information that is based on certain assumptions and is subject to risks and uncertainties that could cause actual results to differ materially from historical results or from results anticipated by the forward-looking information. Forward-looking information provided in this call speaks only as of the date of this call and is based on the plans, beliefs, estimates, projections, expectations, opinions and assumptions of management as of today's date. There can be no assurance that forward-looking information will prove to be accurate, and you should not place undue reliance on forward-looking information. PyroGenesis disclaims any obligation to update any forward-looking information or to explain any material difference between subsequent actual events and such forward-looking information, except as required by applicable law. In addition, during the course of this call, there may also be certain references to non-IFRS financial measures, including references to adjusted net loss and adjusted EBITDA, which do not have any standardized meaning under IFRS and therefore may not be comparable to similar measures presented by other companies. For more information about both forward-looking information and non-IFRS financial measures, including a reconciliation of each of adjusted net loss and adjusted EBITDA to net loss, please refer to the company's management discussion and analysis, which, along with the financial statements are available on the company's website at pyrogenesis.com and the company's corporate filings on SEDAR at www.sedar.com. With that, I will now turn the call over to Mr. Peter Pascali, President and CEO of PyroGenesis. Please go ahead, Mr. Pascali.
Peter Pascali: Thanks, Steve, and thanks to everyone for joining us today for our call. It's good to be back presenting and I look forward to engaging you more like I did in the past. It's been quite a while. What I have before me is a script and those that know me know how much I like scripts. So I was thinking -- I'll get to the script.. But I'd first like to go off script for a couple of minutes and give you Peter Pascali view of 2023 and then we can get to the script and -- sound like a plan. I think I might have woken up some people in the audience. Since this is live, I guess, you might think you're going to get your money's worth anyways. Others maybe having a sphincter tightening experience, but don't worry, I won't let anyone down. So look, 2023 by the numbers, just black and white numbers, what can I say? Revenue decreased from $19 million in 2022 to $12 million in 2023. We have slightly lower margins, 27%, if I recall. Lower backlog, it's $28 million, but it's still healthy, but it's lower. We didn't nail any of those huge long anticipated contracts last year, and there seems to be continuous delays in practically every one of our business lines. Honestly, who would sign up for this? And if you answered no in the right mind, I guess, I wouldn't argue with you. But surprises, surprises, I mean, notwithstanding these numbers, I'm extremely positive about what the future holds for the company and how we're positioned to address that future. I believe we're in a much better place to address the future at the end of 2023 than we were at the beginning, actually a much better place. In order to understand this, I'd like to put 2023 in a particular context that will help you understand better where we were in 2023 and the challenges we were facing, where we are now and where we're actually going. So before that -- before that, let me engage some of the Warren Buffett financial statement slopes out there. I'll give you a couple of gems without stealing our Chief Financial Officer's thunder. If you look at our numbers, the 2019 sales had a revenue item, a patent sale item, I think it was roughly $3 million. When you take that into consideration, that actually equates to at 30% margins, normal operating revenues of something in the order of $9 million to get the same bottom line effect. So you should take that into consideration when looking at the 2022 revenue number of $19 million. Also and actually, probably more importantly, is what we press release with respect to us getting off the NASDAQ and the cost savings there is something in the order of $2 million, which equates to about $6 million in revenue to address that expense, which we won't have in the future. Now you might ask, well, we got off last year, why hasn't it impacted the statements in 2023? Well, the fact is the largest item that -- was as a result of that getting off the NASDAQ was our D&O insurance. And so we had to run out the existing policy before we can actually have -- see the benefits of that actually getting off the NASDAQ. So that's going to be down the road. The other little gem, I'll share with you is that 1/3 of the SG&A is noncash, that's about $12 million. That's quite significant. And we don't have that much debt. And in this high interest rate environment, that's key. We don't have that much debt. And the debt that we have is the majority of it its infrequent hands. What I mean by that, they're in hands that, that have the best interest of the company at heart. So those are some of the gems that are in our numbers that might impact your view of them. But let's go back to putting 2023 in a particular context. The context I want to talk about is essentially factors that not only affected PyroGenesis, but our clients and suppliers at the same time. So I know everybody is sick and tired of hearing about COVID. But coming off of COVID, we all, PyroGenesis, clients and suppliers, we're challenged with supply chain issues and labor supply issues as well. Now the labor supply issue was particularly challenged. It was particularly unique to PyroGenesis. Now think about this for a second. During COVID, we doubled our workforce. I think over doubled our workforce. These people were hired over Zoom. They worked by Zoom and had not really been integrated into the company until post COVID, like some of them were working one year, 1.5 years without ever having come to the office. So not only did we -- were we challenged with labor supply issues that we're facing everybody else, but -- how does a tech company innovate on Zoom? A lot of innovation takes place, as you're passing in the hallway, you have an idea, you pull someone into your office. And how do you go against this title wave of sentiment post COVID, where everyone in the job market wanted to work at home. I just wanted to remind you of the -- two largest challenges facing companies, particularly PyroGenesis coming off of COVID. And many companies didn't survive it. Many companies post COVID didn't survive those challenges. So again, putting the year in context, just as we're coming off of these challenges and actually solving them, our suppliers, our clients as well were faced with an interest environment that was basically unlike anything we've seen in recent memory. Rate increase after rate increase after rate increase, basically shell-shock the businesses across the spectrum. Just for us, just to our quality control, just to make sure that our suppliers were not impacted negatively by interest rate hikes and that they were still able to -- were so financially stable enough for us to engage with them was quite a feat. But this also hit our clients and potential clients who had to address this increased rate environment, install them and delayed them in going forward, in ordering as we thought they would. For instance, our clients run the gamut. They are multibillion-dollar companies at one end, and startup -- not startup, starting up companies at the other end. So $1 billion companies, it's a double-edged sword. At some level, investors and people that are interested in the company take a lot of credibility that $1 billion companies are actually engaging us. They're soon to have done a lot more due diligence. They have a lot more capacity to understand the technology. And actually, to get a $1 billion company to change the path there on to consider something that PyroGenesis is offering is quite something that you can -- I mean that you can look at. The double-edged sword is this. $1 billion companies tend to adjust very slowly to the shock ways like the interest rate -- continuous interest rate hikes. They have to pause, reflect, see what they're doing, how they're going to react to it, how does it affect their business. And then -- so there is a delayed -- delay in putting in orders, they have to reflect on what these interest rates have -- are going to have on their business lines. The other spectrum are the start-ups and starting up companies that we engage with as well. And who typically at this stage of where they're at, will look at new financing to continue their growth. There's been obviously -- I don't have to -- it's no surprise to people around that there's significant sticker price shock from about 18 months ago. There's more asks the financing if it's tough to get. And again, the equity ask or the interest rate ask is much higher. So it's taken even these -- at the other end of the spectrum, these companies as a bit of adjustment. Now, the good news on this front is that coming out of 2023, we see this is beginning to change. These larger companies, $1 billion companies have digested interest rate hike environment, and they're back to engaging us as -- in the existing projects as they were in the past. And at the other end, the start-ups and starting up companies, we find that they seem to be the renew interest in the funding them, particularly in light of the new data that's come out from us continuing the project in the course of the year. Anyways, so basically, going off script is a bit -- keep on refocusing myself. So basically, the -- I just want to basically give you the challenging environment, the environmental context in which we are operating in 2023, not only ourselves, but our clients and potential clients. Now what the numbers don't reflect and what excites me about the year, is that all that was done at the company, that is not obvious when looking at the numbers. I hate the example, but like a deck -- the deck, when you look at it on the surface, it's one optics. But under the water, where you can't see there is a lot going on. And a lot going on at PyroGenesis actually bodes very, very well for the immediate future, in my opinion. First of all, this cost reduction program that we have essentially to look at our expenses. We grew significantly over the past few years, both labor force and business lines. And we're looking at our cost reductions. The $2 million that I mentioned, getting off NASDAQ is one, it hasn't taken effect. There's about another $1 million just off the top of my head that I can think of that we said and anticipated expenses. A case in point, and I won't go into too much detail here, but this is a good example. We cast our procurement department to target 10% reduction overall in procuring equipment machinery, et cetera. And this is very challenging. It doesn't seem like a big number. This is an environment of increased prices. But they were not too -- quality had to be maintained or increased. So we couldn't skip on quality. And so far, we've knocked it out of the park. And they're still going at it and -- this, again, bodes very well for the future, our cost reduction program, which is ongoing. So there's a lot of other items in my script in terms of what was happening in the company, but just to name a few, -- from our press releases. We successfully expanded into new heavy industries, and we obtained some first contracts in cement and chemical industries. We commercialized our 3D printing process, our next-gen process with the first commercial by the ton order of titanium metal powder. It was a big move. We did see a rebirth of our waste remediation business line with contracts in a number of different projects. We had the PACWADS chemical warfare destruction system. We have the PFAS torch, which we press released. We -- all these are press release, of course. We have the SPARC in New Zealand. We have two separate alouette contracts, and we had additional torch sales to the U.S. Navy. We also in 2023, embarked on increasing the power level of our torches. We have an order of 4.5-megawatt torch to a U.S. defense and aeronautics company, being the latest high-powered torch order, which is significant. We also saw a huge new interest for plasma feasibility studies, which are small, but a number of them are quite large. And this bodes well for the future because they were usually with well-heeled companies, who have -- with a need -- a significant need for these studies. They have the financing and the interest to move forward if these studies prove out the way they think they will. So this bodes very, very well for the future. And last but not least, our efforts with HPQ have been successful. We successfully converted a quartz to silicon in a single step with the QRR process, the Quartz Reduction Reactor. And we had a successful pour of the silicon have validated all the project milestones. And we saw a fast growth in the Fumed Silica Reactor with the construction of the pilot plant underway and slated for completion in Q2. Look, there's a lot more in the script, so I'll get to the script. And I'd like to thank you for indulging me with Peter Pascali 2023 review. In conclusion, though, my review, I mean, what the point I want to get across is, we've met some significant challenges in 2023 head-on and we prevailed. We have decreased cash -- costs significantly, and we continue to do so. And we've expanded and leveraged off of our existing product portfolio, which effectively further derisk the company, which I think is very significant these days to do. Anyway, so back to the script, and I thank you very much once again for indulging me. Look, so I'm going to start off with a quick review of some of the company's top line financials followed by a summary of key business activities. It occurred during the quarter, before turning the call over to the company's Chief Financial Officer, Andre Mainella. First, I remind you that PyroGenesis follows Canadian Generally Accepted Accounting Principles or GAAP, where revenues accrued not on sales, but on a model that reflects a percentage of the work completed for long-term contracts during the period. And this can vary based on both the nature of the projects in-house and on our client's own scheduling and logistical decisions, both of which can impact production milestones and the company's ability to book revenue. During these recent years of supply chain logistical and inflationary uncertainties, those issues have been more frequent and exasperating. And as stated in previous reports, the company's revenues are likely to be regular and unpredictable quarter-to-quarter as contract-related revenue fluctuates based on various factors, including those just explained. For the fourth quarter of 2023, the company exited the quarter with revenues of $3 million. While we had anticipated the revenue momentum to continue and for Q4 to maintain the upward trend of Q2 and Q3, we believe that Q4's numbers being slightly behind Q3 was just a pause on that trend and that the overall trend remains positive and upward. For the full year, 2023 revenue was $12.3 million. As stated in yesterday's news release, 2023 was a year in which we dealt with many of the issues associated with the growth and adoption of clean technology in a cautious economic environment. We, like so many other companies, face higher costs associated with continued inflationary pressures on material and labor costs and longer sales cycles for system sales caused by the uncertain economic environment we were all facing. But some of the forces behind those higher cost point to positive developments, specifically those costs associated with the commercialization of technologies such as our next-gen metal powder production system, which fully came online in 2023, and the fact that we received multiple requests from potential customers to help them in their investigation of plasma -- using plasma as a solution to the many problems. Much of the latter is new use, proof-of-concept where margins are bound to be negligible until wider adoption is achieved. The gross margin was 23% for the fourth quarter and 27% for the full year 2023. This remains comparable to and even ahead of the industries the company serves and consistent with margin pressures being seen across those industries, who continue to have difficulty maintaining margins due to a persistent inflationary environment for heavy industry and their customers. For comparison, in Q4 of 2023, the aluminum industry returned margin of 7.6%. The trailing 12-month margin of only 4.2%. Aerospace and Defense at 14.9% for the quarter and 19.4% for the 12 months; and iron and steel industry at 16% quarterly and 19.3% for 12 months are just a few examples that show how tough margins have been in heavy industry. An additional aspects for us pertaining to margin, which is often overlooked, is that because some of the company's projects are conducted in partnership, the engineering and production aspects are likely to be conducted with intentional lower profit margins. This is especially true for projects with clients like HPQ silicon, where PyroGenesis has traded upfront margin in exchange for back-end royalty potential on the clients' end product. Additionally, projects developed using government grant funding often have lower margins as mandated by the grant. As mentioned in the past, given that several of the company's technology solutions are either only recently commercialized, we're going to have long time spans between orders of a similar type system. We regard any high or even medium-sized margins at such an early stage as both positive and a strong sign for the future. While we will always strive for higher margins, our current numbers are in line with expectations. And finally, to backlog. Our backlog remains strong at $28.8 million. We continue to stay close to the $30 million backlog number that the company first reached in Q4 of 2019. Overall, the financials for the fourth quarter remained above Q1 of 2023, the quarter that what we feel represents the low mark of the recent downtrend. And the full results of $12.3 million keep us more than double the $5 million average revenue, which the company traditionally produced for most of its history up until the first significant revenue jump of 2020 when we surpassed $10 million for the first time. And now on to production highlights for the quarter. Please note that projects or potential projects previously announced that do not appear in the summary update or within the MD&A or outlook should not be considered as a risk. Noteworthy developments can occur at any time based on project stages and the information presented is a reflection of information on hand. Projects not mentioned may have simply not concluded or not past milestones worthy of discussion. Also, some projects that we announced are relatively small, such as investigative studies requested by customers. Once concluded, the studies are the property of the customer and decisions they make as a result of the studies are entirely unforeseen, and have to be months or even years away from manifesting as equipment sales. While these projects can be small, we announce these projects to give light to the areas where customers are showing interest and where PyroGenesis' technology has potential future promise and may conduct further research. Under those circumstances, and given the number of studies the company conducts on behalf of customers, it is generally not deemed necessary to announce their conclusion, especially when the customer's ultimate end goal for the studies are still unknown or are part of further research investigation, or even a long negotiation between PyroGenesis and the customer. And now a brief reminder of the company's business strategy where the company is a provider of an expanding technology ecosystem for heavy industry, with a number of solutions in different stages from early pilot to full commercialization, concentrated under three verticals that align with economic drivers key to heavy industry. The first energy transition and emission reduction. This focuses on fuel switching or helping heavy industry reduce their fossil fuel use and lower their greenhouse gas emissions by utilizing the company's electrically powered plasma torches and its biogas upgrading technology within various process steps. Second, waste remediation. The safe destruction of hazardous materials and the recovery and valorization of underlying substances such as chemicals and minerals that can be reused or resold. Third, commodity security and optimization, which means using PyroGenesis' technology to aid in the recovery of viable metals and then in the optimization of production output, both actions meant to improve the availability of critical minerals, such as titanium, aluminum, magnesium and others that are [indiscernible] for modern manufacturing. With respect to commodity security and optimization in Q4, in October, the company provided an update on two projects: the PUREVAP Quartz Reduction Reactor or QRR pilot plant and the Fumed Silica Reactor or FSR project. For the QRR project, which is an initiative to create high-purity silicon from quartz in a single step using a plasma reactor, the company announced noteworthy progress and confirmations included: One, completion of the scaling up of the QRR process by 2,500 times from the previous laboratory scale, validating the original proof of concept; two, demonstration of operation in a semi continuous batch cycle; three, production of silicon from quartz using a one-step direct carbothermal reduction process; four, a 25% reduction in raw material use compared with conventional methods; five, achievement of 3N+ or 99.9-plus percent silicon purity, a crucial purity level for battery-grade silicon applications; six, and an optimized QRR design for high performance during the tapping process, minimizing silicon contamination. For the FSR project, an initiative to convert quartz into fumed silica in a single step using a plasma reactor, the company announced that in a major step towards commercial scale production, PyroGenesis had successfully deployed the FSR on a library scale -- sorry, on a laboratory scale, resulting in the milestone production of fumed silica. Preliminary test and analysis also confirmed that the material produced has chemical and physical characteristics comparable with those of commercially available fumed silica. In October, the company announced the successful pour of the silicon from the PUREVAP Quartz Reduction Reaction, which successfully validated 100% of the projects critical milestones. In November, the company announced a successful third-party validation of fumed silica from the FSR from lab scale production. Separately, the company announced that production of the fumed silica pilot plant was underway and intended to be in operation in Q2 of this year. And in December, the company announced the successful receipt of a U.S. patent for its innovative next-gen plasma atomization metal powder production technology for use in additive manufacturing and 3D printing. And lastly, within PyroGenesis' waste remediation vertical, in October, the company announced receipt of a $360,000 initial contract from a European engineering services firm, undertaking the discovery and safe destruction of chemical warfare agents within the European Union. Under this agreement, as part of a potential three-phase project, PyroGenesis will first provide a lab scale size plasma arc chemical warfare agent destruction system, the PACWADS, as part of a multi-partner project aimed at identifying, extracting and disposing of chemical munitions and chemical warfare agents, residing in active marine passageways and corridors. The second phase will consist of testing the system to validate its efficiency, performance and capacity. The eventual goal is to develop a full-scale system once results from the lab scale system are reviewed. To read about these and additional events and updates to ongoing projects, not discussed on this call, please refer to the corresponding section of the news release or the MD&A, in particular, the outlook section of those documents. I'll be back at the end for some final thoughts. But at this point, I'd like to turn the call over to the company's Chief Financial Officer, Andre Mainella, to discuss the financials in more detail. Andre, the floor is yours.
Andre Mainella: Thank you, Peter, and good morning, everyone. Let me continue with a review of our Q4 and 2023 financial results. Total revenue for Q4 2023 was $3 million compared to $3.3 million for the same period last year. Revenue for the year 2023 was $12.3 million compared to $19 million for 2022. The revenue variation in Q4 was due to the decreased sales in Torch related products and services and PUREVAP, but offset by an increase in sales to the U.S. Navy, biogas upgrading and refrigerant destruction from a new SPARC contract in 2023. For fiscal 2023, total sales were lower, due mainly to an IP sale in 2022 for $3.6 million, which was not repeated in the current year. Also by a decrease in DROSRITE sales volume and biogas upgrading sales. This was offset by an increased annual sales to the U.S. Navy and to the new contract for the SPARC refrigerant system totaling $0.6 million in 2023, which did not exist in 2022. Also, other sales were up versus last year, also due to the delivery of titanium powders on a new contract announced in 2023. As of April 1, 2024, the company had a backlog of signed and/or awarded contracts was $28.8 million. The company's backlog continues to be strong, and we continue to add new contracts while progressing and delivering current contracts. The total backlog is well divided into the company's verticals, mainly in energy transition and emission reduction. The remainder is split into commodity security and optimization and also in waste remediation. Gross profit for Q4 of 2023 was $0.7 million or 23% of revenues compared to a gross profit of $0.5 million or 15% for Q4 of 2022. For the year 2023, gross profit was $3.4 million or 20% compared to $8.1 million or 43% for fiscal 2022. The improvements in gross profit and margin in the current quarter was mainly attributable to the impact of direct materials used in production and to foreign exchange. Just a reminder, the prior year IP sale was $3.6 million directly impacted the gross profit, both in dollars and percentage. The company's gross margin achieved in the current quarter and for the year, comprised no special or onetime measures contributing to the 28% margin and is based exclusively on production and project advancement. Other drivers of the gross profit and gross margin variation are due to inflationary pressures on materials and labor costs and also the various nature and product mix of the contract themselves. This is once again comparable to industries the company serves, which seem to be experiencing decreases in margins over the year. Selling, general and administrative expenses were $9.4 million and $31 million for the 3- and 12-month period ended December 31, 2023, respectively, compared to $10.4 million for Q4 2022 and $29 million for the same 2022 12-month period. The decrease in Q4 2023 is mainly due to the important items such as professional fees and noncash items such as share-based expenses as well as the expected credit loss, which began in 2022, noncash goodwill impairment and changes in cash flow assumptions on the royalty receivables. For fiscal 2023, total SG&A was $1.9 million higher than 2022. This was due to employee compensation and the fact that 2023 also continued an aggressive continuation of the DCL, which began in late 2022 for a total of $5.1 million as well as the goodwill impairment mentioned earlier. This was offset by a reduction of share-based expenses and professional fees. In addition, as part of the SG&A reduction, cash fixed costs continued to be monitored and tightened, namely for accounting, legal and Investor Relations expenses. Note, share-based expense competition, which is a non-cash item and relates mainly to prior year's grants was reduced by almost half in Q4 2023 and fiscal 2023. It's also important to note that of the total SG&A in 2023, an excess of $12 million or 40% is considered noncash. Research and development expenses for Q4 of 2023 was $0.5 million compared to $0.7 million for Q4 of 2022. Although R&D was slightly lower in the last quarter, annual R&D remained stable between $2.2 million and $2.3 million for the year 2023 and 2022, respectively. Net finance costs amounted to $0.3 million in the current quarter and compares to $27,000 for Q4 of 2022. This increase is due to the interest expense and accretion on the convertible debenture issued in July of 2023. For fiscal 2023, net finance income is $1.3 million, favorable by $1.9 million year-over-year. Note the current year includes the interest accretion and revaluation of the balance due on the business combination. The change in fair value of strategic investment for the current year was a gain of $0.5 million and for 2023 was $0.3 million. This was caused by the increased fair value of the common shares of HPQ. Comprehensive loss for Q4 2023 was $9.8 million, reflecting a favorable impact of $1 million compared to Q4 of last year. The increase is summarized as decrease in revenue of $0.3 million by generating a higher gross margin and gross profit. A decrease in SG&A explained earlier and mainly due to the credit loss and goodwill impairment and also by improvement in the fair market value of strategic investments. Lastly, the modified EBITDA, which is a useful metric in assessing the company's operations as it excludes noncash and/or discretionary items with a loss of $7.9 million for Q4 of 2023, compared to a loss of $8.5 million for the same period last year. This is a decrease of $0.7 million and explained by the comprehensive loss detailed earlier and adjusting mainly for the fair value adjustments, along with depreciation, amortization, net finance costs, income taxes and share-based expenses. At this point, I'll turn the call back over to Peter. Thank you.
Peter Pascali: Thank you, Andre. In closing, while revenues are not where we like them to be, management believes there is much to be optimistic about and good reasons to have comments about continued momentum. We have recently seen a surge in interest generated by relentless business development efforts, but also because of the fact that leading and influential companies such as Norsk Hydro have publicly announced their intent to investigate plasma as part of their decarbonization strategy. In fact, the MD&A and outlook that accompanies our financial results outline just some of the many projects in discussion or negotiation that combined represent perhaps the robust sales pipeline we have ever had. As I stated in yesterday's press release, our efforts throughout the year, while not having yielded large contracts or system sales during the year that we had hoped, cannot be underestimated for the impact these engagements have had and are having are substantial. In a few short years, we have moved to the front of mind to many current and potential heavy industry customers who sought us out as they made their initial steps on their decarbonization journey. Since late 2019, when our work on the first test of plasma in iron ore pelletization hurdled our entry into the field of heavy industry decarbonization. The opportunities have expanded far beyond the one-furnace/one-industry concept to numerous process heating steps in virtually every heavy industry. The array of opportunities possible within the aluminum industry alone has surpassed that of any one specific technology solution we offered in the past. This is a fundamental change that has taken hold in 2023, which I would suggest, again, significantly derisk PyroGenesis overall. As the decarbonization trend continues to mature, and we are well positioned as a company with deep experience in the field, a key factor to customers as the scale of projects amplifies. Beyond all else, the company remains committed to driving shareholder value and continues to focus on improved efficiency, locating new and better suppliers and growing its customer base, all to improve margin while engaging with potential customers around the world on a variety of new business opportunities. Thank you once again for joining today's call. And I'll now pass it back to Steve.
Steve McCormick: Thank you, Mr. Pascali, and that will mark the end of today's call. We look forward to providing you with additional updates in the near future. We thank you again, and good morning. Operator, please end the call.
Operator: Thank you. Ladies and gentlemen this does conclude today's presentation. You may now disconnect, and have a wonderful day.
Q - :